Operator: Good day, and welcome to The Brink's Company Fourth Quarter and Full Year 2024 Earnings Presentation. All participants will be in a listen-only mode. Please note this event is being recorded. This call and the Q&A session will contain forward-looking statements, and actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences are available in the footnotes of today's press release and in the company's most recent SEC filings. The information presented and discussed on this call is representative of today only. The Brink's Company assumes no obligation to update any forward-looking statements. This call is copyrighted and may not be used without written permission from The Brink's Company. I would now like to turn the call over to your host, Mr. Jesse Jenkins, Vice President of Investor Relations. Mr. Jenkins, you may begin.
Jesse Jenkins: Thanks and good morning. Here with me today are CEO, Mark Eubanks, and CFO, Kurt McMaken. This morning, The Brink's Company reported fourth quarter and full year 2024 results on a GAAP, non-GAAP, and constant currency basis. Most of our comments today will be focused on our non-GAAP results. These non-GAAP financial measures are intended to provide trends for the periods presented. Our management believes these measures are also useful to investors as such measures allow investors to evaluate our performance using the same metrics that our management uses to evaluate past performance and prospects for future performance. Reconciliations of non-GAAP results to their most comparable GAAP results are provided in the press release, the appendix of the presentation, and this morning's 8-K filing, all of which can be found on our website. I will now turn the call over to The Brink's Company CEO, Mark Eubanks. Thanks, Jesse. Good morning, and thank you for joining us.
Mark Eubanks: Starting on Slide three, delivered total organic growth of 11% in the fourth quarter, 12% in the full year. ATM managed services and digital retail solutions, or AMS DRS, grew 23% organically in both Q4 and the full year. This marks the twelfth consecutive quarter of double-digit growth rates in key lines of business, and our growth outlook remains positive. These end markets are growing. Our customers continue to value our offerings, and we continue to capitalize on a robust global pipeline of opportunities. Cash and valuables management, or CVM, grew organically 7% in the fourth quarter and 9% for the full year. Our global services business has been softer over the last few quarters, into 2024 as a bright spot in most markets. Increasing volatility in the precious metals markets, we are well positioned to benefit from rebounding demand in 2025. As we forecasted in our last earnings call, the U.S. Dollar strengthened over the end of 2024 and created a 10% headwind in the period almost entirely in our higher margin Latin American segment. Despite this impact, delivered $912 million of EBITDA in 2024 and expanded our EBITDA margins by 40 basis points to a record high level of 18.2%. EPS of $7.17 included an approximate 4% reduction in share count year over year as we opportunistically executed our share repurchase program. Our strong fourth quarter performance was punctuated by robust free cash flow. We delivered $400 million for the full year, over $300 million in the fourth quarter alone. Stronger than anticipated performance in the quarter was primarily the result of continued progress on working capital efficiencies, including accounts receivable collection and payables management. Kurt will have much more on free cash flow later in the call. From a strategic perspective, we're focused on creating value by improving our revenue mix, streamlining our operations, and compounding free cash flow that we can return to our shareholders. In 2024, AMS DRS grew $200 million and now represents 24% of our total revenue, at the high end of our previous expectations. We also continue to strengthen our global leadership team by adding three uniquely experienced global executives. One, to lead Brink's Global Services, a second to lead the Brink's business system, our continuous improvement program office, and a third to lead our Latin American segment. These leaders bring diverse experiences and successful track records from blue-chip companies like Eaton, GE, Otis, and Honeywell. We are already seeing the benefits from their leadership in areas of growth, continuous improvement, ethics and compliance, and productivity enhancements. All of which will help us continue our growth in margin expansion progress into 2025 and beyond. We also continue to diligently execute our capital allocation framework, reducing our net leverage in 2024 to 2.8 times EBITDA while returning approximately $250 million to our shareholders through our repurchase program and our dividend growth policy. We remain laser-focused on accelerating this strategy, which is forming the basis of our framework for 2025, a continuation of the last three years. Next year, we plan to grow total organic revenue in mid-single digits, highlighted by mid to high teens organic growth in AMS DRS. Mixed benefits and productivity actions continue to help us deliver a 30 to 50 basis point expansion of EBITDA margins. We plan to convert 40% to 45% of EBITDA into free cash flow, returning about half of that cash to our shareholders. While our framework will sound familiar, investors have told us they would like to see additional data points so they can better understand the impact of the changing foreign currency environment in our results. In order to provide as much clarity as possible, we are introducing additional guidance for the first quarter, which I'll explain further later in the presentation. Turning to Slide four, you can see the specifics on the fourth quarter. As we exceed $5 billion of full-year revenue for the first time in the company's history, adjusted EBITDA was roughly flat to the previous year on a reported basis but was up 11% on a constant currency basis, reflecting strong productivity and the benefits of AMS DRS growth. While EPS benefited from a lower tax rate, it was down compared to the prior year as we lacked the benefits of a previously discussed marketable security gain in Q4 of 2023 that we laid out in our initial 2024 guidance. Trailing twelve-month free cash flow was also flat to the previous year with conversion from adjusted EBITDA of 44%, reflecting EBITDA growth and improved working capital management. Turning to Slide five, I thought it'd be helpful to walk through what we're seeing in each of our reported segments. Starting with North America on the left, organic growth was 2% for the full year and adjusted EBITDA was up 60 basis points for the full year. We ended the year on a strong note in Q4, posting our highest total and AMS DRS organic growth rates of the year. While AMS DRS was consistently strong all year, we did see our global service businesses return to growth late in the quarter, and we're bullish on the potential that business has into early 2025, based on the trends in the precious metals markets. Overall, the North American market remains stable, and we continue to work on a solid pipeline of opportunities across all lines of business as we plan for continued growth acceleration into next year. Latin America was down 2% in total as we managed through a volatile FX picture. Similar to North America, we ended the year at the high point of organic growth rates even when excluding the impact of Argentina inflationary pricing, AMS DRS grew double digits organically over the full year. And despite severe currency impacts on the year, adjusted EBITDA margin in the region was roughly flat compared to the prior year. In 2025, we expect meaningful year-over-year FX headwinds as we continue to lap the previously stronger Latin American currency basket, especially in the first half of the year. We also anticipate reported organic growth to decelerate as inflation has begun to moderate in Argentina this year. We view this as really good progress for the Argentinean economy as well as our business. In the rest of the segment, our organic growth rate should remain somewhat consistent in the mid-single digits over the course of 2025. We also plan to take some restructuring actions in this segment early in the year to protect margins and better realize the AMS DRS operating model. Europe grew 7% organically in 2024 with total adjusted EBITDA growing slightly faster at 9%. Growth in the region was primarily related to AMS DRS as Europe continues to be a strong conversion market with customers moving from traditional services to AMS DRS. Organic growth was 6% in Q4 as we begin to lap strong comparisons to the prior year, which are expected to continue into the new year. Relatively modest growth and margin was impacted early in the year by the previously discussed softness in our Global Services business. As is the case with other regions, we saw good momentum with global services late in the quarter and have seen positive momentum into early 2025. On Slide six, you can see our progress growing adjusted EBITDA and expanding margins over the years in North America. On the right side, you can see a few of the drivers of the performance. First, we've improved the quality of our revenue considerably. This includes both growth in higher margin AMS and DRS revenue as well as portfolio rationalization efforts in 2023 that carried into early 2024. We've improved the quality of our customer base, eliminating lower margin accounts either through price realization, a conversion to DRS or AMS, or in some situations, a decision to move on from unprofitable accounts. We also delivered considerable cost productivity across the P&L with the rollout of the Brink's business system. This is most noticeable in direct labor, our largest expense category. Direct labor as a percent of revenue is down an impressive 310 basis points over the last two years. This productivity is widespread and consistent. During 2024, our major productivity metrics in both routing efficiency and money processing improved year over year every quarter of the year. Maybe most importantly, these efficiency gains happened while we improved employee safety, and customer service and quality, with our total recordable incident rate continuing to improve, both year over year and sequentially in the fourth quarter. The system and technology investments we discussed last quarter to centralize the planning process and improve messenger routing remain on track for full realization by the middle of 2025. These actions were necessary to drive improvement in subsequent years and fully realize the benefits of the AMS DRS operating model. I'm confident we're making the necessary investments to move our North American business towards our target of 20% EBITDA margins in the coming years. Turn to Slide seven, I'll provide details on revenue by customer offering. Starting with the chart on the left, you can see that AMS DRS now represents 24% of our total revenue, and we're targeting an increase to between 25% and 27% of the business by year-end. AMS DRS is now about three and a half times bigger than it was when we first began to report it in 2020. We're expecting mid to high teens organic growth in 2025. Our cash and valuables management business grew 7% organically in the fourth quarter and remained stable looking into next year. A positive in the fourth quarter in CVM was the stabilization of our global services business. Precious metals shipments picked up late in the quarter with additional momentum into early 2025. As we've discussed previously, volatility in these markets can be beneficial, and we're seeing this dynamic play out in the cycle. Trends in the global services business move quickly, and our ability to leverage pre-existing infrastructure and relationships is key to capturing increased revenue and profit during times of volatility. Our capabilities are characterized by a global footprint of secure storage facilities and an established logistics network around the world. As one of the largest global players in the market, we're well-positioned to capitalize on this opportunity. In DRS, we're still seeing strong demand patterns and have a healthy backlog of booked business. Over the year, we increased our installed base of DRS devices by 20%. Operationally, we shortened our selling window and improved time to install devices, ultimately decreasing the time to revenue. Despite strong double-digit organic growth in DRS in every segment, we exited the year with an expanded backlog of signed agreements in most countries, providing a good line of sight to our 2025 targets. In the U.S. specifically, our backlog more than doubled from the beginning of the year compared to where we exited the year. Our wide range of solutions is driving increasingly diverse end-market demand. From single stores to large enterprise operations, we have a DRS solution that can be tailored to meet various customer needs. While our performance has been impressive, the markets are still growing and remain largely underpenetrated, giving us confidence we can continue our growth trajectory in the near term. On the AMS side, we increased ATM accounts by double digits while driving mid-teens organic growth across all segments. Pipelines remain full, and we're having active conversations with many financial institutions and retailers across the globe. We're on track for full deployment of the previously announced Sainsbury's deployment in the UK by mid-2025. Early results of our onboarding have been positive and ahead of schedule. The pace of growth remains robust across all regions, and we recently added a large customer in Asia Pacific that will onboard later this year. As a trusted partner with major banking customers, we're well-positioned to capture market share as outsourcing trends continue to accelerate. Overall, I'm pleased with the quarter and the year. AMS and DRS continue to deliver and have a bright outlook. We remain positioned to benefit from the recovery in our global services business in markets, and we continue to drive operational excellence in our traditional cash and valuables management business. I'm encouraged by our progress, and I look forward to executing on our strategy in 2025. And with that, I'll turn it over to Kurt to discuss the details of the quarter, including a focus on free cash flow and capital allocation. I'll return to discuss our new guidance methodology and take questions. Kurt?
Kurt McMaken: Starting on slide eight, organic revenue grew $133 million, with 46% of that growth coming from higher margin AMS and DRS recurring revenues. Currency headwinds amounted to $123 million in the period, primarily from the Argentine peso, Mexican peso, and Brazilian real. Organically, adjusted EBITDA grew $28 million or 11%, with the majority of the impact coming from our higher margin Latin American businesses. Total adjusted EBITDA margins were down 30 basis points from the prior year, impacted by the regional revenue mix impact of foreign exchange. On slide nine, starting on the left, interest expense was up $8 million year over year to $60 million. The increase was driven by higher debt, including growth in DRS provisional capital and slightly higher financing leases. Next year, we expect interest expense to remain roughly flat year over year, using current market expectations for two interest rate reductions. Tax expense was $29 million in the quarter, representing a full-year effective tax rate of 23%, better than our expectations. The tax rate benefit was driven primarily by the impact of inflation adjustments in Argentina and the geographic mix of earnings. In 2025, we expect our tax rate to return to a more normalized level of 28%, a consistent reduction in our baseline effective tax rate of about 560 basis points less than 2021. Interest income was $11 million in the quarter and $49 million for the full year. With inflation rates moderating in Argentina, we expect 2025 interest income to return to the more normalized levels we saw in 2022, especially in the second half of the year. The other category was $6 million, $28 million lower than the prior year, primarily from the lapping impact of marketable security gains in the prior year that did not repeat, which are excluded from adjusted EBITDA. Income from continuing operations was $94 million, and our diluted share count was down 1.7 million shares or 4%. Our EPS in the period was $2.12 per share. Walking back up to adjusted EBITDA, depreciation and amortization was $6 million in the fourth quarter, and we expect total depreciation and amortization to rise modestly in 2025, primarily reflecting increased depreciation from AMS and DRS equipment. In the stock comp and other category, stock-based compensation was up about $6 million in Q4. Looking into next year, stock compensation is expected to decrease slightly to between $30 million and $35 million. Moving to slide ten, you can see our free cash flow performance over the last several years. We generated $400 million of free cash flow in 2024, with conversion from adjusted EBITDA of 44%. With a focus on continuous improvement, we continue to identify and implement actions to improve cash flow, including from working capital management with a particular focus on more timely collection of trade accounts receivable and optimizing payment terms to vendors. On the trade accounts receivable side, we were able to reduce our DSO by seven days. Over the last several years, we've increased our focus on DSO because it's the largest driver of our working capital performance. We are earlier in our journey on accounts payable, but during the fourth quarter and into 2025, we began to centralize and standardize our procurement teams and processes. We continue to work with certain key vendors to improve payment terms and relationships throughout the year. With planned systems and process enhancements underway in 2025, as well as continued growth in AMS DRS revenue, we expect to continue to make methodical progress in these areas in the coming years. Another component of success this year was capital efficiency. Our fleet decreased by over 300 vehicles during 2024, and we reduced our facility count by over 60 locations as we continue to drive operational efficiency with AMS and DRS growth. Cash CapEx of $147 million in 2024 represents 2.9% of total revenue, well below our target of 3.5% to 4%. While we expect this number to increase slightly next year, we expect to remain under 3.5% of revenue in 2025. Other major components of free cash flow came in roughly as expected and are expected to remain stable into 2025. Moving to Slide eleven, our capital allocation framework has been consistent over the last several years, and we don't expect any changes next year. As always, we strive to allocate capital prioritizing long-term shareholder value. Our framework is designed to compound free cash flow in future years by investing first in organic growth and margin-enhancing opportunities. We are targeting CapEx as a percentage of revenue below 3.5% per year and plan to continue to drive capital efficiency by shifting our revenue to AMS and DRS. In 2024, we were able to lower our net leverage to 2.8 times, moving further into our target range of 2 to 3 times. With leverage within our targeted range, over 60% of the cash we generated this year was allocated to shareholder returns. We spent $204 million on share repurchases, a 20% increase over last year, reducing share count by over 2.1 million shares. We have also been diligent with our dividend policy, passing along double-digit increases in each of the past few years. And finally, on M&A, our posture on deals hasn't changed. We have a full pipeline and continue to explore accretive opportunities that have a strong strategic fit, attractive returns, and align with our current leverage targets and broader capital allocation framework. Turning to slide twelve, you can see recent capital allocation trends over time. To be the largest component of our capital allocation in each of the last two years. The increase is primarily driven by share repurchases, with dividends remaining roughly flat in total dollars despite the double-digit increase in each of the last two years. Net leverage is down approximately half a turn since 2022. I'm proud of the success we have had accelerating shareholder returns while consistently reducing debt levels over the last few years. I'll now hand it back to Mark for guidance and Q&A. Mark?
Mark Eubanks: Thanks, Kurt. Our new approach to guidance intends to provide investors with a full-year framework for value-generating metrics like organic growth, adjusted EBITDA margin expansion, and free cash flow conversion. We also plan to provide quarterly guidance throughout the year for revenue, adjusted EBITDA, and EPS, in order to provide investors with as much real-time information as possible during the year. We believe this approach will allow our investors to focus on the component of our long-term strategy that will ultimately create value. This changing guidance methodology is primarily the product of the current volatility that we see in the FX markets. Now, let's take a look at the numbers. Our full-year framework should look very familiar, with total organic growth in the mid-single digits and AMS DRS organic growth in the mid to high teens, reflecting the continuation of recent performance. If FX rates across our basket of currencies hold at the current levels, we're expecting a little less than a 5% headwind over the full year. We expect margin expansion of 30 to 50 basis points as we deal with continued currency pressure in high-margin Latin American countries and factor in lower interest income resulting from Argentina inflation moderation. Free cash flow conversion will be in line with 2024, and we're targeting at least 50% of that cash towards shareholder returns, with repurchases of shares at similar levels as 2024. In the first quarter, we expect revenue of $1.225 billion at the midpoint, reflecting organic growth in the mid-single digits, and currency is expected to be a headwind of around 6%. The revenue guidance assumes strong continued growth in AMS DRS, positive momentum in Global Services, and reflects current inflation moderation trends in Argentina. Adjusted EBITDA is expected to be between $190 million and $210 million. We expect to see year-over-year margin expansion in all segments outside of Latin America, where we plan to take some restructuring actions to improve margins and right-size our business for the balance of the year. EPS is expected to be between $1.10 and $1.40. Looking back over the year, I'm pleased with our performance. AMS and DRS are approaching 25% of our total business, and the mix shift is delivering improvements in profit margins and free cash flow generation. Our productivity journey is well underway as we deploy the Brink's business system deeper into our operations, and our cash flow is resilient and growing. Our team of over 68,000 employees is aligned behind our strategy, and we're working diligently. 2025 is off to a great start, with continued momentum in our key lines of business of AMS, DRS, and Global Services. And I'm excited for the year ahead. With that, we're happy to now take your questions. Operator? Please open the line.
Operator: Thank you. We will now begin the question and answer session. If you're using a speakerphone, and you would like to withdraw your question, and the first question will come from George Tong with Goldman Sachs. Please go ahead.
George Tong: Your cash and valuable management business grew 7% in the quarter. Can you...
Mark Eubanks: Sure. Thanks, George. Good morning. We continue to see volumes continue to improve and improve that ratio more towards the balance fifty-fifty like we've talked about previously. I think part of that is some of the Argentina inflation moderation. We're seeing that come down, which is why you see the printed organic growth numbers more in line with the rest of the regions and the long-term trends. I think you'll also see in 2024, we did have some more price built into the market. Part of that is we talked about North America with the portfolio rationalization in the first half of the year. But I think if you just sort of look in general, price inflation remains positive across all of our regions. So if you think about looking around sort of around the world, that also is in line, George, with our money processing volumes. Kind of some of the underlying metrics operationally continues to be consistent throughout the year in all of our regions. Of course, as you think about our revenue profile and growth profile, a lot of that is, as we talked about, is AMS DRS growth, which is really a mix impact as well. Not just that's not part of price. As we continue to look forward, that CDM part will continue to be positive in 2025, particularly as we saw BGS start to pick up in the fourth quarter, and we've seen that momentum continue as I mentioned into 2025. That's, you know, on the back of a lot of this, you know, metals movement we've seen around the world.
George Tong: Got it. That's helpful. And then you're accelerating investments to improve margins in North America. Can you outline the opportunity you see there? How much in investments you're making? And if you think the opportunity to close the gap with margins in North America is greater than the international margin opportunity?
Mark Eubanks: Sure. Well, we don't think, George, there's really a ceiling for us on those margins. You know, I talked we talked about 20% EBITDA as a near-term target. We think that's still in line of sight. The investments we're making are really focused right now on route optimization technology, and we talked about that in Q3. We expect to have that fully implemented by mid-year this year and expect to realize those benefits in the second half of the year. I think some of the other opportunities that we've seen for investment are really around some of our legacy tech debt that we've moved some on-prem data centers to the cloud. We talked about that as well in Q3. They really give us more flexibility and scalability as we take the business up. You heard my prepared remarks, you know, we started disclosing labor as part of a breakout in our gross margin cost of goods. You can see that's improved 310 basis points, and really, I attribute that to our real productivity benefits coming through in both our external routing and logistics network, but also our money processing as you think on our internal cash. We really are starting to realize those benefits and seeing that margin progression step forward, particularly in North America. We think that's gonna again close the gap with our particularly, you know, Latin America as we see our lean journey in Latin America is a couple of years ahead, to be honest, from North America, but we expect that to catch up, and we expect to steal some of these best practices not only into Latin America but also into Europe and the rest of the world.
George Tong: Got it. That's helpful. Thank you.
Operator: Your next question will come from Sam Kutz Worm with William Blair. Please go ahead.
Sam Kutz Worm: Hey, Mark. Hey, Kurt. Thanks for taking our questions here.
Mark Eubanks: Yeah. Good morning, Sam.
Sam Kutz Worm: Good morning. I guess to start, you're guiding to assuming mid-single-digit organic growth for 2025, and I think you also shared mid to high teens organic growth for AMS DRS business. I think you touched on this a bit briefly in the prepared remarks. But can you also break down for us your assumptions for the CIT and VGS businesses in terms of the components of growth?
Mark Eubanks: Yes, just organic growth assumptions. Yeah. So if you, I mean, kind of if you do the math, I mean, CVM would be back into the low single digits. Growth is the way to think about that. Sam, that's total. Then you said BGS. Part of Did you say BGS part of CDM? Yeah. We don't break that out, but, I mean, it's gonna again, be in that I would say, consistent, that whole group of businesses think about that as low single digits.
Sam Kutz Worm: Got it. Okay. Think about one thing, you know, we gotta keep in mind is that is a conversion impact that, you know, does kind of keep that rate in that lower single digit relative to the AMS and DRS growth. So there is some shift that's going from CDM and into AMS DRS.
Mark Eubanks: I think, Sam, we can though characterize where we're seeing where we are seeing growth. Again, we continue to see sort of BGS global services business in total organic growth accelerating out of Q4 into Q1 and probably as our outlook anticipates through the rest of 2025. And if you just remember, we've been talking about softness really for the past three quarters in our global services business. That predominantly showed up in North America. Although it's part of our North American segment, where we actually were slightly negative last year and expect that to flip this year to positive.
Sam Kutz Worm: Got it. That's It doesn't help with the aggregators.
Mark Eubanks: Yeah. Within that total CDM number that we're just talking about.
Sam Kutz Worm: Got it. Awesome. And then you also finished the year with AMS CRS organic growth of 23%. I think for the year as well. So moving that business towards mid to high teens growth, is that more about comps that you're gonna have to deal with or moving towards a more normalized growth rate? Just trying to understand that a bit better.
Mark Eubanks: Sure. Two things there. Sam, you know, for us. One, it's just a lot of large numbers. Know, that number is getting bigger and bigger. And so we would anticipate, you know, that a little bit slowing down, but it's also as that inflation starts to moderate because we have, you know, we have some AMS DRS business down there that also becomes a little bit of a growth headwind compared to what we had previously. But our commitment on this mid to high teens, frankly, it's what we said last year, Sam, and outperformed that. We expected that to be, you know, mid to high teens, and that continued to surprise us. I'd say our performance in the quarter, we expect that to continue in the near term given the nature of the recurring revenue piece of that, and, you know, we would hope to outperform that as we go forward. We had two nice wins in the quarter, you know, with AMS DRS, in North America specifically with two new logos, first in AMS, the BP convenience store gas station chain. You know, this is hundreds of locations for our AMS business across several of their logos, you know, that they brand or franchise with. Really, that deployment has already started, and we expect it to finish up sometime in the third quarter. So again, a good incremental organic win in the marketplace. On the DRS side, we're thrilled to partner with Western Union and are announcing that now to bring DRS technology to hundreds of locations across their network. I think this is gonna be a really strong initiative to help them not only enhance security, their cash handling but also help their agents locally operate more efficiently. We've started this rollout already. We're excited to announce the partnership and look forward to getting the rollout complete by the end of Q1 this year. So again, two good big partnerships that we're excited about building on a strong backlog that we brought into the year into 2025.
Sam Kutz Worm: Got it. That's helpful color there. Thanks. If I could squeeze one more in then. I just wanted to ask about these FX headwinds as it relates to your free cash flow and ability to deploy that free cash flow towards areas like share repurchases? So to put it simply, to what extent do these headwinds impact your ability to generate and deploy free cash flow in 2025? Particularly as it relates to share repurchases.
Mark Eubanks: Sure. So for us, you know, free cash flow conversion will continue to improve, we think, with margins. And so as we do have some headwinds on margins in those high sorry, headwinds to FX in those high-margin geographies, that could be a headwind to free cash flow conversion. See on the other side, we, you know, we think interest rate reductions obviously are gonna help us across the business. But of course, faster AMS DRS deployment as well. AMS DRS is inherently more capital efficient for us, both in allowing us to optimize our network but also allowing us to improve our payment terms and collapse our cash cycle. So that does again provide tail and we think to the ability to convert free cash flow. One of the examples of that that we would point to on this capital efficiency side this year, we would see about 300 vehicles less across our network and about 35 fewer physical branches across Brink's. And so we're starting now to see some of these capital efficiency benefits as we start to reach up or maybe approach some tipping points here, allowing us really to optimize our networks.
Sam Kutz Worm: Got it. Appreciate that. Thank you.
Operator: The next question will come from Tobey Sommer with Truist. Please go ahead.
Tyler Barish: Good morning. It's Tyler Barish on for Tobey.
Mark Eubanks: Hi. Good morning.
Tyler Barish: I'm trying to understand how much of the growth in AMS DRS came from legacy conversions versus new business wins.
Mark Eubanks: We don't have that broken out, but it's actually we've said before, it's probably less than a third. In fact, it's been pretty low. Most of what we've done on the DRS side continues to be unvended competitive acquisitions from other providers, whether that service was DRS or, you know, CIT or CBM. I we wouldn't know. Think that on the AMS side, it's a little bit more difficult to say because, you know, the retail ATM networks are, you know, would largely be, you know, new business for them. Maybe they're changing providers, and it's a market share shift for us. But when we talk about bank outsourcing, that's really a continued expansion of the available market. Because traditionally, those banks, you know, were insourced already. And so, you know, for them, maybe all we were doing was CIT only, and so that really is a pure conversion of CIT to AMS. But I would say that's not been the majority of what we're doing. Most of it is new business, new to cash management largely in DRS, and new to AMS under the retail banners.
Tyler Barish: Got it. Just hitting on tariffs. You talk about Fintech that would have seen gold prices rise, which can be a positive, but if you maybe just talk about the impact of some other economies throughout the world slowing down maybe slightly. That would impact.
Mark Eubanks: Sure. Certainly, tariffs for us, we've seen that impact global markets in total as we've all seen. And one of those impacts has been around precious metals, particularly gold and silver. And so, you know, as we exited Q4 and have seen what's going on in Q1, what we expect to continue is a lot of movement of gold and silver certainly into the US. That's been well chronicled, I think, publicly in the Wall Street Journal and Bloomberg that this is happening, and we are one of the biggest logistics, the biggest logistics player in the space. We have seen those benefits. I think we're also seeing this though movements around Asia. Again, as global markets are balancing, you know, around currency and around this volatility is beneficial to our global services business. And so we already have a large installed logistics network, both of vaults and logistics hubs, but also, you know, well-established relationships with, you know, banks, custodians, and so forth. So for us, this is really good. Being that it's a big fixed-cost network, those create good incrementals for us on incremental profit conversion. You know, but frankly, it's a reward for carrying this fixed infrastructure in times that aren't so robust. So this is a good opportunity for us. On the other side, from a tariff perspective on the non-global services business, we really don't see any large impacts for us one way or the other. I think to your point, I think you insinuated maybe there's some economic local economy issues that could, you know, that you could see, but we certainly have not seen that yet. We've seen Brazil has had some economic headwinds in the last few quarters and largely unrelated to the tariffs. But we don't see any direct impacts, Tyler, I think that we would see you would hear from other companies, particularly those that are importing or exporting goods.
Kurt McMaken: Tyler, the only thing I would add to Mark's comments is we're keeping a close eye on input costs, and we're ready, you know, to take actions, you know, if that becomes an issue.
Tyler Barish: Got it. And then just one final one. There's been some reports about the penny being discontinued. Would that have any meaningful impact on your business?
Kurt McMaken: Yeah. No. There is news out there about the discontinuation of the penny, but for us, that is really not an issue. I mean, we have a coin business, but that's an immaterial kind of concept to us in terms of impact.
Mark Eubanks: Yeah. And maybe even a benefit. I mean, we are one of the largest, I mean, we have the largest in North America when it comes to physical currency movement, and coin is also a large part of that. We partner not only with retailers but also, you know, with the Fed as part of the distribution network.
Tyler Barish: Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Mr. Mark Eubanks for any closing remarks. Please go ahead, sir.
Mark Eubanks: Yes. Thank you. And I appreciate everyone for joining us today. Look forward to speaking with you each soon in the future.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.